Hilde Nafstad – Head, Investor Relations: Good afternoon, ladies and gentlemen, and welcome to Statoil’s Third Quarter Earnings Presentation and Conference Call. My name is Hilde Nafstad. I am the Head of Investor Relations in Statoil. Before we start, let me say that there will be no fire drills planned for today. In case the fire alarm goes off, you will need to exit through the two doors in the back of each side of the room and continue on towards the same side. This morning at 7:30 Central European Time, we announced the results for the third quarter of 2011. The press release regarding the results was distributed through the wires and through Oslo Stock Exchange. The quarterly report and today’s presentation can, as usual, be downloaded from our website, statoil.com. There is a link directed to the presentation on the front page of statoil.com. I will ask you to kindly make special note of the information regarding forward-looking statements, which can be found on the last page on the presentation set. Please note that questions can be posed by means of telephone. Questions cannot be posed directly from the web. The dial-in numbers for posting questions can be found on the website. The operator of the conference call will explain the procedure for posing questions over the phone immediately before the Q&A session starts. It is now my privilege to introduce our Chief Financial Officer, Torgrim Reitan.
Torgrim Reitan – Chief Financial Officer: Thank you, Hilde, and welcome, everyone. So it’s a pleasure for me to present Statoil’s results for the third quarter for 2011, a quarter where we delivered strong financial results. We produced as expected and we have made significant steps towards long-term growth. So let us turn to some of the highlights since we last met. In the past months, we have taken large steps in line with the strategy we announced at our Capital Markets Day in June. First of all, we have achieved strong financial results with a significant increase in earnings and in addition to stable production this has been a quarter with successful exploration. Of course, the most important one is the Aldous and Avaldsnes discovery, and I can tell you in Statoil, we have not stopped smiling yet, and we have problems with stopping to smile. So this is one large oil discovery. There’s communication between the two licenses and we hold 40% in both of those. And on Friday last week, we announced the doubling of the volumes in the Aldous part, and we increased our estimate to between 900 million and 1.5 billion barrels on the Aldous part alone. The combined Aldous/Avaldsnes is a giant and it is growing. And this is probably one of the five largest discoveries on the Norwegian continental shelf ever. So we will work with the partners to ensure the necessary clarifications and the rapid and optimal development of the field. But we are making discoveries elsewhere also, and worldwide we have completed 13 wells in the period and we have made nine discoveries. Furthermore, we actively manage our portfolio to create value, and we will put our money where our strategy is. So we are expanding into unconventionals, and last week, we announced an offer to acquire Brigham Exploration. So let me quickly run through the highlights once more. This is actually one of the largest single transactions Statoil has ever done. So this deal fits well, it builds on Statoil’s approach into U.S. unconventionals. First through the Marcellus deal, and last year with the Eagle Ford deal. And this one, now establish Statoil as an operator in unconventional plays. We will be one of the first majors in this area. And Brigham has some of the highest initial production rates in the Williston Basin and they have been in the forefront of investing in value-adding equipment and infrastructure. We have a strong record in applying technology. We believe there is additional potential to unlock upside through our technology and R&D capabilities. So we look very much forward to creating more value together with our new colleagues. Let me also mention that we are maturing our project portfolio. We have submitted plans for developments and operations for the Skuld field in the Norwegian Sea and for the subsea compression project at Åsgard. And also in the quarter, the PDO for Stjerne and Vigdis North East was approved by the Ministry. And Skuld, Stjerne and Vigdis are examples of fast-track projects. And so far, four fast-track projects have been approved, a fifth one has been submitted and two more PDOs will be delivered before year end. So we are taking significant steps and we move ahead as planned. Then over to production. In the third quarter, production was as expected. Our equity production was 1,764 mboe per day, and this is a 14% increase over the third quarter last year. But, as you may recall, that quarter had a lot of maintenance. We have started up new fields and are ramping up existing fields. And I would like to mention that Peregrino started in Brazil, which took place in April. We are proud to see such a safe and efficient start-up of Statoil’s largest international operatorship. And we expect to produce at full capacity from Peregrino within one year from start-up. And actually Peregrino makes Statoil the second largest operator in Brazil, and it offers us opportunities for growth in a key offshore cluster. Then I would like to congratulate our team at the Leismer Demonstration Plant in Canada where we find the world’s largest known reserves of oil-bearing sands. We have achieved many milestones at Leismer in the past year, including regulatory approvals, a safe start-up and operation and production ramp-up. Also, I would like to mention the start-up of the Pazflor development in Angola on the 24 of August. This start-up was actually ahead of schedule and I would like to give total credit for very good work. We hold 23.3% and this asset with contribute with approximately 45,000 barrels per day when we reach plateau over the coming months. But we also saw natural decline on mature fields as expected and some operational challenges. And we saw suspended production in Libya as you know. Extensive maintenance has been carried out as we had planned for, and you all know the seasonal lower gas off-take that happens every year and it happens also in 2011. Then an important point, we are continuing our strategy of gas optimization, or value over volume as we call it. And so far this year, we have reduced our gas production and instead sold it into future years where we see prices are better. And we have continued to move gas out of the fourth quarter as well. Production is of course extremely important to this company, but if we can create even more value out of the production, that is even more important to us. So looking ahead, I should also mention the further delay on the Skarv project. BP, as operator of the field, they have confirmed that the production start-up will be delayed until the end of first quarter in 2012. This startup was expected earlier in 2011, and this will of course have a negative effect of our production in the fourth quarter. So this will impact the 2011 production with approximately 15,000 barrels per day and, as you understand, Skarv will produce less than initially planned in 2012 as well. So looking a bit closer on the Norwegian continental shelf, our total production of 1,245,000 barrels per day, that’s an increase of 17% compared to last year. We see good production performance on most assets, but production is impacted by known elements like the reduced water injection at Gullfaks, the riser challenges on some of our installations and the reduced production permit on Troll for the gas year that ended 1st of October. And internationally, production increased by 6% compared to the third quarter in 2010 to 519,000 barrels per day in the third quarter. In 2011, we have started at Pazflor and Peregrino as well as ramping up Leismer in Canada and increase production from Eagle Ford and Marcellus. The increase was partly offset by Azeri-Chirag and Shah Deniz in Azerbaijan due to operational issues and planned turnaround. We had decline in Angola as expected and we had suspended production in Libya. In the third quarter of 2011, our net operating income was NOK 39.3 billion and this is an increase of more than NOK 11 billion over the same quarter last year or actually 39%. And this increase was largely driven by high commodity prices and increased production. The net income in the quarter is NOK 9.9 billion. We have made adjustments to better reflect our underlying operations in the quarter like we do every quarter, and this quarter it is at NOK 3.9 billion. Those adjustments are impairment losses of NOK 4.8 billion, NOK 3.8 billion of those is related to impairment of our refinery business and the majority of that is related to the Mongstad refinery in western Norway. The impairment is made mainly because we see a more challenging outlook for refinery margins in Norwegian kroner. The change is a result of a strengthening of the kroner to dollar exchange rate, increased expected CO2 prices, and an increase in the crude differentials, which are positive to Statoil overall but negative for our refineries. We are working hard to improve the underlying operations and we have since 2009 carried out a comprehensive program to improve margins. However, the situation is still challenging and we will review further measures in order to resolve the situation. Other adjustments are higher fair value of derivatives of NOK 3.3 billion with a positive impact on the net operating income. So, the adjusted earnings before tax was NOK 43.1 billion and this is a 62% increase over last year or more than NOK 16 billion. So higher commodity prices contributed with NOK 13.8 billion and increased volumes contributed with NOK 5.5 billion. The reported tax rate was 76.6% in the quarter, but based on adjusted earning, it was 73.5%, and I will revert to that later in my presentation. Then over to the segments; a few comments to the adjusted earnings, Development & Production Norway delivered NOK 35.8 billion in adjusted earnings and this is an increase of nearly 65%. The increase was mainly due to higher prices impacting with NOK 10.9 billion and increased production of oil and gas with a positive impact of NOK 5.5 billion. And I would particularly want to mention that the production cost on the NCS is stable despite new fields on stream and extensive maintenance, and the focus on cost-efficient operations will continue. International development and production delivered earnings of NOK 4.1 billion and this is an increase of 64%. Increased prices in Norwegian kroner impacted positively by NOK 2.9 billion and exploration costs actually decreased by NOK 1.1 billion. And that is despite that exploration activity has increased. This is due to higher capitalization this quarter. This was partly offset by higher operating expenses. The start-up of Leismer and Peregrino and ramp-up of Marcellus and Eagle Ford contributes to cost increases. The high activity level will impact our costs going forward as well. And there is one additional point that is worth mentioning as well, and that is related to royalties in the fields. Those are, accounting-wise, handled as part of the revenue as equity and in the cost line as well. So this is a part of the cost picture and that is expected to continue going forward as well. Marketing, Processing and Renewal delivered at NOK 2.5 billion in earnings, that’s a NOK 400 million higher than last year. For natural gas, the increase was mainly due to higher margin on gas sales and higher entitlement volumes, which was partly offset by decreased income from Gassled caused by decreased ownership share and a lower tariff income. For crude oil processing, marketing and trading, this was more loss compared to a small earnings last year. We realized lower margins from products and gas liquids trading in a backward dated and challenging market. And the traditionally strong gasoline market during this part of the year has been very weak. Refinery margins are low this quarter, but they were on a similar level last year. Finally, I would like to remind you of the sale of our Gassled asset. This will significantly impact the NPR results from the first quarter next year. Tax on adjusted earnings is 73.4% this quarter. This quarter we have a relatively higher income tax with a marginal tax rate of 78% from the Norwegian Continental Shelf. I have told you earlier this year that we expect to come in the higher end of our guided tax rate of 70% to 73% in the full year. Our expectations is now that we will be slightly above that range and that is mainly due to strong earnings from the Norwegian Continental Shelf with a higher than average tax rate. So we will get richer and the states will also get richer. Then over to the cash flow. So far this year, the cash flows from underlying operations is strong, NOK 177 billion. This is mainly due to high prices of liquids and gas. We paid approximately NOK 23 billion in the taxes during the quarter and NOK 67 billion so far this year. We pay taxes in Norway six times per year, and in the fourth quarter, we will pay two installments. Proceeds from sales are significant. We have received the proceeds from the Peregrino transaction in Brazil and the KKD transaction in Canada. All in all, this had brought NOK 29 billion this year. And finally, we expect to close the Gassled transaction by year end, and this will provide us with around NOK 17 billion more. We have a quite comfortable position with a strong balance sheet and lot of cash at hand. The net debt was 13.6% at the end of the quarter, and I expect as earlier stated, that the net debt by year end will end around 10%, excluding the Brigham acquisition. That acquisition is expected to increase our net debt by approximately 6 percentage points to 7 percentage points. Investments are progressing as planned and we expect to spend around $16 billion in 2011. We will address the 2012 investments during our fourth quarter and strategy update in February 2012, where we will take into account the Brigham acquisition. And exploration is also expected to come in around what we have guided around $3 billion. As we have previously guided, we expect equity production for 2011 to be slightly below the 2010 level. Equity production for 2012 is expected to grow with around 3% average rate based on the actual 2010 equity production. And as I said in the start of my presentation, our third quarter production was in line with our expectations. And as you know, BP has delayed the start-up of the Skarv field until the end of the first quarter next year, and as I said, this will impact our 2011 production by 15,000 barrels per day. We continue to work the riser issues. It is under control and we are waiting for new risers to be installed. This will have an impact for 2011 and also some impact in 2012 as well. So far this year, we have moved gas out 2011 and into later years, and this is due to opportunities in the markets and enables to get better prices for our gas. We have continued to move gas out of the fourth quarter as well, so this will also impact the fourth quarter production. Planned turnarounds will impact the international production by around 30,000 barrels per day next quarter. And in total, the estimated impact from turnarounds on equity production is around 50,000 barrels per day for the full year 2011, and that is mostly liquids. So, in summary, we believe this has been a quarter with significant progress for Statoil; strong financial results, and production in line with expectation, and exploration success and business development for the long term. We presented our strategy at our Capital Markets Day in June and we have taken significant steps towards delivering on the long-term outlook towards 2013. So this concludes my presentation. So thank you very much for your attention, and then I’ll leave the work to Hilde to lead us through the Q&A session. Please.
Hilde Nafstad – Head, Investor Relations: Thank you very much, Torgrim. We will now turn to the Q&A session. For this session, Torgrim will be joined by the Senior Vice President for Accounting and Financial Compliance, Kåre Thomsen and the Senior Vice President for Performance Management & Analysis, Svein Skeie. This session will last for approximately 15 minutes. We will take questions from the audience and over the telephone. I will first ask the operator to explain the procedure to asking questions over the telephone.
Operator: Thank you. (Operator Instructions)
Hilde Nafstad: So, we’ll start with questions from the audience. I will ask you to please state your name and who you represent, and we will pass microphones around. We have a question from John.
John Olaisen – Carnegie: Yes, good afternoon this is John Olaisen from Carnegie. Could you tell us a little bit about when you expect to be able to book the Aldous/Avaldsnes reserves into your official results, please?
Torgrim Reitan: All right. Thank you, John. First of all, resources and reserves are going to be large as we all understand. We are working as hard we can to maturities and develop concepts. We aim for this asset to come into production before 2020. And we have an ambition for 2017 for production. And the booking of reserves is a large chunk done at the point of sanction and then a second chunk at the start of production. So the sanctioning will be between now and 2017. As you understand, I cannot be more exact than that, but this will of course be positively impact the reserve booking. Yes.
John Olaisen – Carnegie: My second question is regarding the Brigham acquisition. It’s currently producing about 21,000 barrels and you said it could produce 60,000 to 100,000 barrels within five years, i.e. being 2016. And you also have a quite explicit guidance on production for 2016, does the Brigham acquisition mean anything to your production guidance for ‘16?
Torgrim Reitan: When it comes to production guiding, we have said that we will stick to that. I mean this will have an impact all the way through 2020 as well. So this will make us even more comfortable in the way we have guided the markets. So this will be a positive contribution towards we have – what we have guided to. We were comfortable with the guiding that we gave at the Capital Markets Day. So this will make us even more comfortable on that.
John Olaisen – Carnegie: Just to be clear on that, should we add 60,000 to 100,000 barrels on top of your previous guidance, or if not, how should we interpret your guidance? Is it an organic plus potential acquisitions that included in your guidance or how to see this?
Torgrim Reitan: I see this as the guiding going forward, as such, in the 2016 perspective, we are not ready to make any adjustments to that. In 2012, we said this is within the uncertainty of the range we are guiding on. When it comes to 2016, we are not prepared to make any changes. This will be a positive contribution compared to the portfolio today. And if it is relevant to changes, that will be done at a later point in time.
John Olaisen – Carnegie: Okay, thank you.
Hilde Nafstad: Any more questions from the audience? Yes. We have one.
Helge André Martinsen – Nordea Markets: Helge André Martinsen, Nordea Markets. I was wondering if you could please explain the development of the gas prices from the second quarter into third quarter was dropping. And the second question on the tax rate on the NPR? And the third question would be could you be more precise on what you mean by you got a more flexible production permit to Ormen Lange?
Torgrim Reitan: Okay, thank you. On the tax rate on NPR, I can take that myself. So, Svein, if you can prepare on the development of the gas prices, that would be good. In the NPR, there are several tax regimes involved, mainly it’s offshore and, yes, slightly on the process and transport business, which is in the 78% regime. And then we have activities in the 28% regime. So we have, of course, profit in the 78% regime, and then we have losses in the 28% regime. So when you combine that together, you get strange tax rates on the segment as such. That is the main explanation on that one.
Svein Skeie: On the gas prices, a large part of our gas sales are then linked to contracts with the references to oil prices. So it’s then dependant on the development in the oil prices, especially for fuel oil and gas oil relating to the prices, and then you typically see a six month-lag on it. In addition, we also are selling gas on spot and that will also affect the gas prices as we report in the quarter-by-quarter. So that will be an average blend of those two.
Helge André Martinsen – Nordea Markets: Are there any further questions from the audience? Then we will turn to the questions over the phone. Operator, can you please introduce the first question?
Operator: We will take our first question here from Brendan Warn with Jefferies. Please go ahead.
Brendan Warn – Jefferies: Thanks, guys. This is Brendan Warn from Jefferies. Just first question, just two questions, please. Can you give us an update on Shah Deniz Phase 2 and timing and milestones that we’ll be looking for in terms of FID, and I guess just your commitment to the Nabucco project? And then just secondly, can you just remind us of the upcoming high impact wells for the coming three months both Norway and international, and just timing of your well in block 2 Tanzania? And just thirdly just the status of the ratification of your new acreage in Angola, please?
Torgrim Reitan: Okay, thank you. Shah Deniz Phase 2 is an important development to Statoil. The Shah Deniz Phase 2 is expected to produce in total around 16 billion cubic meter per year when that plateau. As you know, there is a lot of things to be clarified before that can be sanctioned and it is especially related to transportation and transit of the gas. There are progress in those discussions. So we are progressing ahead with the work in the partnership, as such. So first of all, this needs to be bid on a concept selection especially on the transport route and then it will move forward toward final sanctions. So we are following that very closely and things are progressing. On Angola and the pre-salt licenses there, those are not finally concluded yet, but they are expected to be closed in not too distant future. Then on the high impact well in Tanzania, Svein can you give an update on that one?
Svein Skeie: In Tanzania the well there, we expect them to spud that around year end, probably in December this year. That’s when we expect to spud that.
Torgrim Reitan: So that is not expected to be concluded in 2011, but in 2012.
Brendan Warn – Jefferies: Can you just remind us of some of your high impact wells please that are near term?
Svein Skeie: On the Norwegian continental shelf, I think you should look out from the (indiscernible) that we are now planning to spud in the near future. The (indiscernible), that will also then probably be concluded in 2012. So that will probably be spudded prior, but completed after a year.
Brendan Warn – Jefferies: Okay. Thank you, guys.
Hilde Nafstad: Next question, please.
Operator: We will now take a question from Michael Alsford with Citigroup. Please go ahead.
Michael Alsford – Citigroup: Good afternoon, couple of questions if I can. Firstly following the Brigham deal, should we see Statoil potentially looking to add further acreage in either the Bakken or other parts of your unconventional gas portfolio in the U.S.? And secondly just a bit further on East Africa, you’ve got a couple of blocks in Mozambique, you potentially talked a little bit around the plans that you might be undertaking into next year, following I guess recent successes for the ENI and Galp in Anadarko? Thank you.
Torgrim Reitan: All right. Thank you. So I’ll talk to Brigham and, Svein, you can talk on Mozambique and Tanzania. Brigham is a significant step forward for us, with the third large acquisition into unconventional for us. We see unconventional as a very important part of the energy mix going forward. And the next wave is going to be much more technology intense than it has been so far. So that is where we really see the Statoil footprint within this business. So Brigham is giving us an operator role in a key area in the Bakken. When it comes to further acreage, we are looking to optimize the areas we have. In the quarter, we concluded a transaction together with Talisman with SM Energy, small transaction but it sort of will be an active approach to the acreage we have there, and we will continue to do that. So we will move forward on that basis in the U.S. And then East Africa, Svein?
Svein Skeie: Yes, we’ll then with Mozambique where we are now planning then for doing the seismic there. So we are planning then to have a large 3D seismic survey, which we are then planning for in second quarter. And our intention then is following the seismic activity that we will drill a well in the 2013 to 2014 perspective. On Tanzania, that is about the well that we don’t plan to spud, but will be concluded next year as we discussed earlier.
Michael Alsford – Citigroup: That’s great. Thank you very much.
Hilde Nafstad: Next question, please.
Operator: We will now move to Mark Bloomfield with Deutsche Bank. Please go ahead.
Mark Bloomfield – Deutsche Bank: Good afternoon. May I ask two questions, please? Firstly, a question on your international business and costs, adjusted OpEx and depreciation both stepped up quite sharply this quarter, which was presumably due to Peregrino and Pazflor. Just wondering if you can give us a sense of the run rate going forward, particularly over the next 12 months as those projects continue to ramp up? And second question just turning to the Aldous and Avaldsnes discovery, perhaps you can give us some insight into your appraisal plans over the next 12 months there? Thanks.
Torgrim Reitan: All right. Thank you. On international costs, if you look at the operating expenses and the SG&A on an adjusted basis, it increased to NOK 3.6 billion in the quarter from NOK 2.6 billion. So that was sort of a significant increase. That can be explained by mainly two things. One element is growing production and growing activity. We have a start-up of Leismer and Peregrino and Pazflor this quarter compared to the last quarter, and we are ramping up the Eagle Ford and Leismer activity. And that counts for around half of that increase. The other explanation is related to royalties and production bonuses in various fields across the portfolio and the production from those fields are growing. And the way we deal with royalties and production bonuses is that we book the revenue based on an equity basis, and then in the cost we subtract the royalty and production bonuses as cost in this cost line. And that, in general term, explains the other half of that increase. And then to your very important question about what to expect going forward, I mean, the royalties and production bonuses that will certainly continue as these fields have the intention to continue to produce. And also we expect significant activity and growth internationally going forward as well. So I think that must be the guiding I can give on the international cost level going forward. Then on the plans for Aldous and Avaldsnes, we expect an appraisal well at least spudding of that on the Avaldsnes part this year, and then there will be a further activities on the Aldous part next year as such, so to firm up the volumes and then prepare for selecting development solutions and so on. So these are of course assets that will be prioritized to be worth and they are.
Hilde Nafstad: All right, we’ll move on to the next question.
Operator: We will now move to Oswald Clint with Sanford Bernstein. Please go ahead.
Oswald Clint – Sanford Bernstein: Hi. Good afternoon. Thank you. Just going back to Azerbaijan, actually, could you just give us some insights into what’s happening when you say operational issues at the ACG field and on the shutdowns at Shah Deniz, is there anything there more problematic we should be aware of? And the second question was back on the Brigham acquisition, talked about it having the highest production rates in the Bakken, does seem to be that they also have the highest number of fracs per well in the Bakken, is that something you think you will have to sustain the high level of fracs per well or is that something you think you might be able to decrease?
Torgrim Reitan: All right. Thank you. On Azerbaijan first, so BP operates these fields. Touch upon Azeri-Chirag first, there have been some sand issues in the wells there, that field will be done maintenance on this one later this year. On Shah Deniz, it is more related to well integrity issues and a cautious approach by the operator. I think to get more details on this, I think it’s prudent to discuss that with BP as the operator. But these are significant contributors to Statoil’s production. Then on the Brigham and fracking, yes, they are one of the companies that frac the most, and they have strong experience in that. The way when we work together with them, we will of course very much appreciate their skills and their technology and skill sets related to fracking. I think there is more to be learned and more to be developed about fracking in the right way and fracking efficiently and so on. So we will certainly contribute to that into that asset going forward.
Oswald Clint – Sanford Bernstein: That’s great. Thank you very much, Torgrim.
Hilde Nafstad: Next question please.
Operator: We’ll now move to Hootan Yazhari with Bank of America/Merrill Lynch. Please go ahead.
Hootan Yazhari – Bank of America/Merrill Lynch: Hi there. Two questions please, first and foremost, the very big discoveries that you’ve made in Norway, obviously, there is a consideration here to be made with the sort of resources available to you. Are you now looking to reconfigure your portfolio and optimize it such that you dedicate more resource to Aldous and Avaldsnes? And in that context, would you be more amenable to divesting assets in Norway? And the second question really revolves around if you give us some more color on the Logan discovery and any sort of further guidance you can give on your drilling program in the Gulf of Mexico for the next few months? Thank you.
Torgrim Reitan: All right. Thank you. Aldous/Avaldsnes, it’s large, it’s going to take a lot resources, of course, to develop, and it will have priority. But that is said, we have quite large capacity, we have actually more than 100 projects in the pipeline currently and have a lot of capacity in hand. We will need to prioritize, we will need to prioritize even without Aldous and Avaldsnes. So I mean bringing both that one and Skrugard online will mean that some other assets needs to wait a little bit more. But on the net, it is of course very, very positive. On your point on divesting assets in Norway, let me just put it into perspective. If you look at Statoil over the last years, we have had a quite active approach to our portfolio. We have sold out of our shipping activities or petrochemical activities, we have IPO, the fuel and retail business, we are recently selling our transportation system on the Norwegian continent shelf, and we have done adjustments to some of the big international assets as well. And going forward, we will continue with an active portfolio management. And I think that has proved quite well, and looking at Statoil as a very upstream critical company, we are actually currently what many other companies would like to be as I see it. We will continue with portfolio management and nothing in our portfolio is sort of more sacred than anything else. So that’s a general comment on that. I will not of course speculate on neither this or that. But in general, we have an active portfolio approach to all of the assets in the company. When it comes to the Logan discovery, I think it’s important not to take that out of proportions in any ways. We have encountered hydrocarbons, which is good. More work needs to be done on this well to see how much is in place, the recovery rates and whether it is commercial or not. So let’s not overstate that currently. I can say this is not Aldous and Avaldsnes all over again, I can tell you that.
Svein Skeie: So, that’s on the Logan.
Hilde Nafstad: Next question?
Hootan Yazhari – Bank of America/Merrill Lynch: And comments on further exploration activity in the Gulf of Mexico in the near term?
Torgrim Reitan: Yes. Yes. Let me see, we have Bioko and Kilchurn. The first up is Bioko as far as I recall.
Svein Skeie: Yes.
Torgrim Reitan: And when is that going to be spudded, Svein.
Svein Skeie: It will probably be spudded over next year.
Torgrim Reitan: Okay.
Hootan Yazhari – Bank of America/Merrill Lynch: Okay, wonderful. Thank you very much.
Hilde Nafstad: Next question please.
Operator: We will now move to Nitin Sharma with JPMorgan. Please go ahead.
Nitin Sharma – JPMorgan: Hi, afternoon, two questions please. The first one, more an extension of earlier questions on the subject, you explained briefly the build-up in U.S. unconventional space, three transactions. My question is what are the next steps? Are acquisitions a near-term agenda? And if so, could you please give it a little bit more of color in terms of size, what sort of comfort range in terms of your balance sheet would be if you were to go in for a deal? And I’m fully aware that post Brigham, you’re still very comfortable at 17%, 18% gearing, so just a little bit more color on that front. And second, could you please explain the very high tax rate in (MMR) please? That’s one bit that I could not grasp looking at your release this morning. Thank you.
Torgrim Reitan: All right. Okay. I tried one explanation earlier, so I will give that chance to Kåre to explain it better this time on the tax rate on NPR. On unconventional and acquisitions going forward, we have an active look on a lot of things around the globe, also within unconventional and Brigham is an example of that. Going forward, I cannot neither confirm or exclude whether that is part of the route going forward, but it is important for us to be well placed in an early stage in new place within unconventional to put the Statoil footprint in place earlier and see to that we are able to create value on anything that we do. On comfort range and balance sheet and all of that, we are running now with a net debt of 13.6% and expect that to come down to 10%, and then when the Brigham transaction is closed, it will increase by 6, 7 percentage points. We have significant cash at hand and so on. I’ll just share some thoughts about how we are thinking. To us, it is very important to run with a solid balance sheet and with significant liquidity, and I’ve touched upon that several times during the year. First of all, running a company like Statoil, a big oil and gas company, you need to do that with a big balance sheet. You also need to have significantly liquidity especially in uncertain times and I mean the current market and outlook is unresolved, so we will continue with that. So we have a very cautious approach to the gearing of the company going forward. And that said, a good oil and gas company needs to be able to take long-term decisions also in troubled time and not to be impacted by short-term fluctuations. So that is the characteristics of a good oil and gas company. And I think the Brigham acquisition is a good example of that. We were able to make a strategic move in a time with a lot of uncertainty, and we’re able to do that due to that we have solid financials and a strong balance sheet and liquidity at hand. But we’re running with a solid balance sheet. Then tax rate NPR, Kåre.
Kåre Thomsen: Yes. As this tax rate for NPR is close to 100%, I fully understand your question. And if you look at the income composition of NPR this quarter, it’s exemplified in our highlight presentation in the supplementary on the 16th page there. You will see that the majority or more than the total earning is coming from the natural gas marketing and the natural gas processing and transportation. And those part of the business has a marginal tax rate of 78%, average tax rate to expect around 75%, and then we have a loss in the part which is taxed around 30%. And when you add this profit, taxed on average probably around 75%, and you only get deduction with 30% of the losses approximately, then we get this range tax rate, which in this period is 99%. We have said that probably it will be, on the average, around 70%, but it will very much vary with the composition of the income of the NPR segment.
Nitin Sharma – JPMorgan: Very clear. Thanks.
Torgrim Reitan: I think it’s just to add on that, I mean when Gassled is going out of the portfolio, I mean there will be even more fluctuations in both earnings and the tax rate on this asset -- on this segment.
Nitin Sharma – JPMorgan: Thank you.
Hilde Nafstad: Next question please.
Operator: We will now move to Teodor Nilsen with First Securities. Please go ahead.
Teodor Nilsen – First Securities: Hey, good afternoon. My first question is related to the average realized liquid prices, it seems like the discount to the average spread during the quarter was slightly higher than normal. So my question is, is that only related to weak NGL prices? My second question is related to Brigham deal. What thoughts do you have around your ownership in Brigham and Bakken assets going forward? Thank you.
Torgrim Reitan: All right, could you please repeat the last question, I didn’t get that.
Teodor Nilsen – First Securities: It’s related to Brigham and your thoughts around the owner share in Brigham going forward?
Torgrim Reitan: Okay. All right, on the realized liquid prices, you’re right, it’s very much to do with NGL prices. On Brigham and owner share, I’m not sure I really understood the question, but we will issue a tender offer to the Brigham investors during October, then there will be a 20-working day time period for them to accept it. If more than 90% of investor accept it, then it’s sort of automatically we issue -- then we have the right to buy the rest of the shares. If it is between 50% and 90%, then there are other mechanisms that come into plays. So that is the process going forward. When the transaction is closed, this will be integrated into the Statoil organization and the ownership structure will be an internal Statoil ownership structure. These assets will be run very much by the existing Brigham management and we will see to that. We are able to continue with capturing the way they run the business and then the way they are operating, and then combining it with the strong thing that Statoil can contribute, technology, there will be some system and processes going forward.
Hilde Nafstad: Can we have the next question, please?
Operator: We will now move to Dominique Patry with Cheuvreux. Please go ahead.
Dominique Patry – Cheuvreux: Yes, good afternoon. I have a question regarding your gas price optimization strategy. Just in order to better quantify the impact it could have on you production, could you maybe help us assess the impact it had on your nine-month production compared to what you were maybe originally expecting?
Torgrim Reitan: Yes. So the gas optimization is, as I told you, that will reduce production and then sell it into later periods with higher prices. So far this year, we have gone back over -- in the summer months where we have that opportunity. And you asked about the typical impact related to that. It is in the range 10,000 barrels to 15,000 barrels per day typically. That is what we’re talking about in that respect. However, we are continuing with that into the fourth quarter, as I said.
Dominique Patry – Cheuvreux: Okay. Thank you very much. And with regard to the negotiation that you have with some of your customers with regard to long-term contract, could you maybe elaborate a bit more about sometimes the flexibility they are asking in terms of spot price indexation versus oil indexation?
Torgrim Reitan: Okay, thank you. On the long-term gas contracts, there are of course discussions with the customers. In general terms, our customers create noises every time when the spot price is below the long-term gas price. So that is as expected. The gap within the spot price and the long-term gas price, that has narrowed over the last couple of years, so the issue is less than it used to be. In general terms, in the long-term contract, there are renegotiation mechanisms that occur on the regular intervals. So in 2012, around 50% of the volumes in the long-term contracts are sort of up for renegotiations. So we have dialogues with our customers in that respect. There is some spot indexation into those contracts already. And that is sort of working well. When discussing the long-term contract, we typically discuss a lot of things at the same time; indexation, flexibility and security of delivery and all of that. So it’s quite a complex picture. We consider ourselves to be well positioned in the European gas markets. We are close to the market. Our gas have to travel one-fifth of Algerian gas, one-eighth of Russian gas and one-tenth of Qatari gas, and we have all pre-invested in infrastructure and so on, so we are ready to act in the market. And we are building up our own end-user business in parallel to the long-term contracts and acting directly with the power producers and (indiscernible) and so on. So we see a healthy development in the gas markets in Europe actually. And we see that especially into the power segments. The long-term contracts, we see them as an important part of our portfolio and they’re here to stay, but they will be part of our gas sales portfolio going forward.
Dominique Patry – Cheuvreux: Okay. Thank you very much. If I may, one final question from my side. On the Marcellus ramp up, if I recall correctly, you were a little bit constrained by pipeline permitting issues, has it been cleared with regard to your former production guidance for 2012 out of the Marcellus?
Torgrim Reitan: Excuse me, do you have a chance to repeat that question, please?
Dominique Patry – Cheuvreux: Yes. Sorry. As far as I understood, you had some restriction in terms of pipeline permitting for the ramp-up of the production from the Marcellus, so just wanted to be updated on this front?
Torgrim Reitan: Yes, all right. Okay, thank you. Yes. That’s a very insightful question like all the others were today, I can certainly say that. But on the Marcellus, we have a lot of wells waiting for transportation capacity that are prepared. There have been some delays in the permitting, especially to the gathering systems in that area. There have been bottlenecks in the organization that makes those approvals. Those are now moving better and the time from an application to an approval has been reduced quite a bit, so that is progressing. But you’re right we have a lot of wells ready for gathering systems. So this is moving forward and that is good.
Dominique Patry – Cheuvreux: Thank you very much.
Hilde Nafstad: Okay, we will move on to the next question, which will have to be the last in the interest of time. Next question please.
Operator: We will now move to Matt Lofting with Nomura. Please go ahead.
Matt Lofting – Nomura: Thanks. Good afternoon. I just had two quick questions please. Firstly, could you just elaborate a little bit on the unchanged production guidance for 2012, does that guidance now implicitly include or exclude any volumes for next year from the Brigham acquisition? And within that, how is the sort of delays around, Skarv impacted your confidence on hitting those targets? Secondly, I think on the refining side, there was an impairment on Mongstad, could you elaborate a little bit around sort of the comment in the presentation earlier that a further review would be carried out of that business. What are the potential options there going forward? Thanks.
Torgrim Reitan: All right. Thank you. Yes. So in 2012, we expect to increase production by an average of 3% per year from 2010 to 2012. We deliberately say around 3 percentage point growth, and that is to give you a range, implicitly a range, and a positive element into that is the Brigham acquisition. It is sort of within the uncertainty that we have in our production end year. Skarv is contributing negatively to the same picture in 2012. So this is sort of within the accuracy that we want to give guidance on. On the refining on Mongstad, first of all, Mongstad is a very important refinery to Statoil. It is very much interlinked with the upstream business and it creates significant value for the value chain. So it is an important asset to Statoil. When that is said, running onshore industry in Norway is not the easiest thing. You can talk to aluminum producers or other producers, there are actually hard to get good profitability. When it comes to these assets, the reason we have written it down is due to the outlook that we see for the refining industry in Europe, and there’s a lot of other companies that are struggling with their refinery business as well. We have put in place a significant improvement program that we are on the way to deliver. We need to have a closer look at that and continue to look for improvements to improve that business. And this is an asset with Norwegian cost structure onshore in Norway and we want to be as competitive or we want to be competitive onshore as we are very competitive offshore as well. There are, of course things, that we don’t control like the framework conditions for onshore industry and there have been made changes to the tax depreciation rules on these assets. That is nothing that we have control over, but we will encourage the politicians to look into that, to see to that onshore industry can live profitably and well also in Norway. But we are continuing to work with improvements on Mongstad going forward, but it is a very important asset to us.
Hilde Nafstad: I see that we now only have one last question in queue. We will make time for that as well. Last question, please.
Operator: So, we’ll now take a question from (indiscernible) with Insight Investment. Thank you.
Unidentified Analyst: Hi, there. It’s (indiscernible). What I wanted to ask is in regards to your unconventional tight oil and tight gas purchases you’ve done in the past in this development, where does your preference lie going forward? Do you want another one to grow more in tight oil, more on tight gas? And secondly, so far, you’ve pretty much financed those acquisitions through divestments, and I think the rating agency quite clearly said, if you continue on a growth path on acquisitions, they actually might go after your credit rating and could you please comment on that?
Torgrim Reitan: Okay, thank you. On unconventional, we are placed in three areas, which we find very attractive. So we will grow all of those three areas. So, there are no sort of specific preferences. I mean the Bakken play is of course a very interesting new addition and its tight oil. So that is of course an area of importance going forward. Divestments have taken place and portfolio management will be a natural part of what to do going forward as well. On the balance sheet that we have and the liquidity we have at hand, there is of course significant, I mean, comfort in that going forward as well. Further acquisitions, I will not comment on whether or not we are looking into that, but in general, we look at a lot of things. Credit rating agencies, we have a close cooperation with them as well. So we have currently AA- rating with S&P and that’s where we are. So we are of course looking carefully after how this develops in going forward. It’s a comfortable rating as such and in these times, it’s good to have a rating like that.
Unidentified Analyst: Okay, thank you.